Operator: Good morning and welcome to the Restaurant Brands International Second Quarter 2016 conference call. All participants will be in a listen-only mode. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Andrea John, Senior Director of Investor Relations. Please go ahead.
Andrea John: Thank you, operator. Good morning, everyone, and welcome to Restaurant Brands International's earnings call for the second quarter ended June 30, 2016. A live broadcast of this call may be accessed through the investor relations page of our Web site at of our Web site at investor.RBI.com and a recording will be available for replay. Joining me on the call today are Restaurant Brands International CEO, Daniel Schwartz; and CFO, Josh Kobza. The team will be available to answer questions during the Q&A portion of today's call. Today's earnings call and presentation contain forward-looking statements, which are subject to various risks set forth in the press release issued this morning. This earnings call and presentation include non-GAAP financial measures. Reconciliations of non-GAAP financial measures are included in the earnings presentation and press release available on our Web site. Let's start with the agenda for today's call on Slide 2. Daniel will discuss highlights for the second quarter at Restaurant Brands International. He will then review performance at Tim Hortons and Burger King. Josh will provide an update on development and discuss consolidated financial results for the quarter. Daniel will share some concluding remarks before opening the call up for Q&A. I will now turn the call over to Daniel.
Daniel Schwartz: Thanks, Andrea, and good morning, everyone. Thanks for joining us today on the call. I am pleased to update you on our performance during the second quarter at RBI. Our focus on providing a great guest experience for our guests and growing their global restaurant footprint at our two iconic brands, Tim Hortons and Burger King, has enabled us to achieve strong profitability growth in the period. This quarter, we reported adjusted EBITDA of 479 million and adjusted diluted EPS of $0.41 per share. Let's start on Slide 4. We achieved comparable sales growth at both brands this quarter, growing 2.7% at Tim's and 0.6% at BK despite a more challenging QSR environment. On the development front, we announced two development agreements in recent months at Tim Hortons: one in the Philippines and one in Minneapolis. We continue to be very excited about the prospects of bringing Tim Hortons restaurants to guests all around the world and look forward to opening our first restaurants in each of these exciting new markets. Compared to the prior-year, our restaurant count across both brands grew by 3.8% and we added 118 net new restaurants during the quarter. Going into the second half of the year, we are working closely with our franchise partners to execute on a strong development pipeline and accelerate net restaurant growth compared to the prior-year. Our comparable sales growth and net restaurant growth resulted in system-wide sales growth of 4.8% at Tim Hortons and 5.9% at Burger King. Our continued growth in system sales, along with cost discipline, led to adjusted EBITDA of 479 million which was up 16.2% organically compared to the prior year. We also achieved strong earnings growth with adjusted diluted EPS of $0.41 per share, up 38.3% versus the prior year. On Slide 6, we highlight the results for Tim Hortons. During the quarter, same-store sales grew by 2.7% and we increased our restaurant count by 3.3% year-over-year, adding 26 net new restaurants in the second quarter. While the pace of net restaurant growth has been fairly constant as we transition to a franchisee-led development model, we are very pretty pleased with the new partnerships that we have begun to form across each of our markets and the outlook for our growth for the brand going forward. Favorable comparable sales growth and unit growth led to system-wide sales growth of 4.8% in constant currency, leading to adjusted EBITDA for Tim's of $279 million, which grew by 24.1% organically versus the prior-year period. Turning to Slide 7, we discussed Tim's results in Canada for the quarter. While we did see some increased competitive activity during the quarter, successful product launches such as the Chicken Bacon Ranch Wrap, the Potato Wedges, and the Farmers Breakfast Wrap drove same-store sales growth of 2.3%. We were particularly pleased have launched our new savory potato wedges and salads this quarter, offering our guests new side options for lunch. We believe this is a critical step towards further building our lunch business, which we view as one of our medium-term opportunities for our Tim Hortons brand in Canada. On a development front, we grew restaurant count by 2.6% in the second quarter adding 25 net new restaurants. We increased our presence in our core urban areas as well as the rest of Canada and expanded our footprint through growth in both standard and nontraditional restaurant formats. Moving to Slide 8. Tim's comparable sales in the U.S. grew by 5.9%, with particular strength in coffee and cold beverages, including our new ICED CAPP flavors, Oreo and Mocha. We also continue to grow sales during breakfast with our Croissant Breakfast Sandwich. We're pleased with the continued strength in our Tim's business in the U.S. with growth in our core products and categories, giving us further confidence in our focus on the market and our expansion strategy. This quarter, we announced the signing of our largest Tim's U.S. development agreement to date in Minneapolis. This marks the fourth area development agreement announced since the merger, along with agreements in Columbus, Cincinnati, and Indianapolis. We are excited to be working with such great partners to expand Tim Hortons in the world's largest QSR market. Through these agreements, we will continue to accelerate the pace of development and bring Tim's to more places in the U.S .than ever before. Turning to Slide 9, we experienced some softness in the Tim's international comparable sales primarily due to the impact of the timing of Ramadan versus the prior-year period. We are pleased with our new product launches such as the Steak Panini, the Steak Wrap, and the Steak Breakfast Sandwich. On the development front, we're excited to announce our first Tim's master franchise joint venture agreement in the Philippines, which Josh will outline in greater detail on the call. Let's now turn to Slide 11 to discuss the results at Burger King. We achieved comparable sales growth of 0.6% and increased our restaurant count by 3.9% versus the prior year, adding 92 net new restaurants. System-wide sales grew by 5.9% in constant currency and adjusted EBITDA of $200 million grew by 6.5% year-over-year on an organic basis. Turning to Slide 12, second-quarter results for the U.S .and Canada were softer during the quarter as we saw increased competitive activity and broader US QSR industry softness. We continue to launch fewer and more impactful products and maintain a balanced approach on menu and marketing. We achieved strong sales from Grilled Dogs and new product launches like the Mac n' Cheetos, which we launched late in June, as well as from promotions such as the two for $10 Whopper meal. Mac n' Cheetos actually became one of the most covered product launches in Burger King's history with 3.2 billion earned impressions, surpassing the previous record set by our launch of Grilled Dogs this past spring. Guests were also highly engaged with our Mac n' Cheetos Snapchat filter and share their tasting experienced thousands of times across Instagram and other social media channels. While our sales results were slower for the quarter, we're very confident that we have the right strategy in place to grow the U.S. business for the long run. On Slide 13, comparable sales in EMEA grew by 0.8% in the quarter, led by strength in Russia and in Germany and offset by softness in the UK and Italy. Net restaurant growth of 51 contributed to year-on-year restaurant growth of 6%. Russia was a significant driver of restaurant growth in the quarter and now have more than 350 restaurants in the market. We also made good progress in Spain, where our new master franchise joint venture continues to develop from a very strong position in the market, and in France, where we are opening very successful restaurants across the country. Going into the second half of the year, restaurant growth for our master franchise joint ventures as well as the conversions of quick restaurants to BK stores in France give us confidence in our outlook for NRG in EMEA. Moving to Slide 14, we had a strong quarter in APAC, with comparable sales growth of 5.3%. Comparable sales growth was mainly driven by China as well as by strength in Korea and Japan. We were also pleased with the pace of development in the region, with restaurant count up by 17% year-over-year and net restaurant growth of 46 for the quarter, led by expansion in China and India. We believe there's a tremendous opportunity for BK to continue to grow its restaurant footprint in China and India and more broadly in the region and are pleased by the progress that our teams are making against this opportunity. Turning to Slide 15, LAC recorded same-store sales growth of 4.9% led by Brazil and Argentina where our new product launches and promotions, such as King Ofertas in Brazil and Grandes Propuestas in Argentina, resonated well with our guests. We grew our restaurant count by 5% in LAC for the quarter, led by development in Brazil, the relaunch of Burger King in Costa Rica, and offset by some softness in Mexico. I'll now turn it over to Josh to take us through the development updates and financial results for the quarter.
Josh Kobza: Thank you, Daniel. Let's move to Slide 17 where we will review updates on development. Back in 2011, we introduced the master franchise joint venture model to Burger King. Under this franchisee-led development model, we partnered with excellent operators to grow our restaurants in a region or country, enabling us to accelerate international growth. We signed our first master franchise joint venture agreement for Brazil and we now have more than 500 restaurants there. To date, we have signed 12 master franchise joint venture agreement at Burger King, with notable growth in places like China and Russia. At Tim Hortons, I'm very pleased to announce the closing of our first master franchise joint venture agreement, which will bring Tim Hortons restaurants to the Philippines, a country with an attractive and growing QSR market that has an affinity for coffee and donuts. We view the Philippines as a natural gateway as we look to expand into Asia and as such, we see it as an excellent entry point for the region. Additionally, we are pleased to announce the sale of the quick restaurants in Belgium and Luxembourg by our master franchise joint venture, Burger King France. The transaction is expected to close in the third quarter, and overtime, our new partner will convert quick restaurants in Belgium to Burger King units as we enter into another compelling market in Europe. We look forward to providing you with more development updates soon. Turning to Slide 19, we discuss RBI financial results for the quarter. I'm pleased to report that we achieved another quarter of double-digit organic growth in adjusted EBITDA and adjusted diluted EPS. Our overall growth in system-wide sales at both Tim Hortons and Burger King, combined with discipline on costs, resulted in adjusted EBITDA of $479 million for the quarter, representing growth of 16.2% on an organic basis versus prior-year results. Adjusted net income for the quarter of $192 million was up 36.5% versus prior-year results, reflecting adjusted EBITDA growth, a $2 million reduction in depreciation and amortization versus the prior year, and interest expense savings due to our refinancing in May of last year. Our adjusted diluted EPS for the quarter was $0.41 per share, representing growth of 38.3% versus the prior year. Turning to Slide 20, we achieved strong free cash flow of $517 million year-to-date, primarily as a result of adjusted EBITDA growth and reduction in capital expenditures versus the prior year. During the first half, we paid $260 million in preferred and common dividends and paid down $35 million of debt, ending the period with a cash balance of $998 million. Moving to Slide 21, we review our capital structure. As of June 30, 2016, our total debt was $8.9 billion and our net leverage was 4.5 times LTM adjusted EBITDA, down approximately 0.7 turns year-over-year. Moving now to Slide 22, on August 3, 2016, the RBI Board of Directors declared a dividend of $0.16 per common share and partnership exchangeable unit of RBI LP, payable on October 4, 2016. Finally, we also announced a five-year $300 million share repurchase authorization. Along with debt repayment, reinvesting in the business, and paying dividends, share repurchases are one of the ways in which we return value to our shareholders and are a part of our balanced approach to capital allocation. I'll now hand it back to Daniel before moving to the Q&A part of our presentation.
Daniel Schwartz: Thanks, Josh. We made good progress this quarter in expanding the presence of both of our brands around the world and increasing the quality of each guest experience in our restaurants. Our commitment to our guests and communities and to building value for our franchisees has resulted in continued growth in earnings for Restaurant Brands International. While sales have slowed a bit compared to earlier in the year, we believe that we have the right plans in place to deliver great results for the long-term for all of our key stakeholders: our franchisees, our employees and our shareholders. Thanks to everybody for joining us this morning and we will now open up the call for Q&A. Operator?
Operator: [Operator Instructions] Our first question comes from Nicole Miller of Piper Jaffray. Please go ahead.
Nicole Miller: Thanks. Good morning. When you talk about the softer trends across QSR limited service domestically in the US, do you see if that is a shorter-term attitudinal shift on behalf of the consumer or a longer-term situation that you have to take into account when you are really looking at your overall strategy? And just wondering with under that context, how do you then talk about comps being negative at BK and positive at Tim Hortons? Trying to understand what that is a function of.
Daniel Schwartz: Hi Nicole. It is Daniel. I think I could address your question. Yes, look, you are right. We did see some softness in the industry in the second quarter. We feel like we made the right adjustments, kind of short-term. But we have been doing this now almost six years and the industry changes from time to time. We try not to get too focused on macroeconomic changes. The industry's moved over time. What I would say is we're very confident in our strategy. If you take a step back for a minute, we have had the same strategy in place the last now almost six years, kind of despite some of the macro fluctuations during that time period. We took sales per restaurant from around 1.1 million to around 1.3 million. We significantly increased the profitability of our franchisees. We reimaged half of the system, had some great new innovation. And despite some ups and downs in the industry over that time period, our strategies remain constant and it will remain constant. And when I look forward, when I kind of look forward into the future, I would say looking at the strategy that we have in place, the strategy we're going to have in place, with the strong innovation pipeline we have, I'm excited. I feel good. I'm confident in the long-term outlook for the brand, the Burger King brand in the U.S. And the Canada side, on our Tim Hortons brand, we did post some positive same-store sales of 2.3%. We saw things slow down a little bit as well in Canada, but I'd say that, again, we're quite confident in the strategy. We saw growth across breakfast and lunch day parts and toward the end of the quarter, we actually made some pretty good additions to the lunch menu. We launched the potato wedges, the savory wedges. And we had also launched salads to give our guests something nice to complement their lunch sandwich. We really view this, the further building an already strong lunch day part at Tim Hortons as a big opportunity for us in the long-term. And then we did some other things with cold beverages. We added, we expanded the already successful line of ICED CAPP. We feel good overall about the long-term outlook and strategy for Tim's. I really cannot emphasize enough, and we've talked to you about this in the past, we try to get too caught up, too focused on the macro kind of swings, positive or negative, and we just stick to our strategy of delivering that great guest experience and driving continued sales and profitability growth for our franchisees.
Operator: Our next question comes from Joe Buckley of Bank of America/Merrill Lynch. Please go ahead.
Joe Buckley: Hello. Question in the actual release, you mentioned solid same-store sales growth by the end of the quarter for both brands. Could you elaborate a little bit on that? Did you see a strengthening in June and if you choose, could you comment on how July fared?
Daniel Schwartz: Hello, Joe. It is Daniel. I don't think, we didn't comment on intra-quarter trends and we don't give forward guidance, as we haven't in the past. What I can say, though, probably again with both brands, and particularly with Burger King, we did make some changes to the strategy and, again, while we don't give forward-looking guidance, what I can say is when I look at the strategy we have in place, so kind of the pipeline of new products and some good innovation, we're confident in the outlook for the business. Tim's, we did make some big launches towards the end of the quarter, where we launched our potato wedges in the month of June and expanded the line of ICED CAPP beverages that we're offering guests to add both light as an option and mocha. We were pleased with the performance of our potato wedges and the cold beverage businesses at Tim's. But again, we don't get too caught up in macro. We don't really give month-to-month guidance. But we're confidence in the outlook for both of our brands for the long run.
Operator: Our next question comes from Brian Bittner of Oppenheimer & Company. Please go ahead.
Mike Paymis: Great, thanks. This is Mike Paymis on for Brian. You sort of touched on it a little bit, but can you talk about maybe the performance versus the peers. It seems as though your business slowed a little bit more than others. I know it was the first negative comp for Burger King in a couple of years. So can you just talk about maybe is it value? Is it something else that didn't perform quite as well? And maybe some more details on kind of what was going on? Thanks.
Daniel Schwartz: I don't have much to add beyond what I said. We did see the business slow down a bit. You know we don't comment on our competitors. We feel like we have a good balance of value and premium. We have some good offers like our two for $10 Whopper meal offer. We had some good full price or premium products like the Chicken Fry Rings, the Mac n' Cheetos, some limited time offerings around our Grilled Dogs, so I wouldn't really point to anything that kind of worked or didn't work, per se. We did see things slow down a little bit. But the same strategy that we've had in place for the past five years is going to continue regardless of if things slow down or accelerate within a quarter. Again, I think when you look at what drives our business in the long run, it's more than value or premium or one or two things. There is no silver bullet. It about delivering great guest experience. We feel like they made really good progress in the reimaging front at the end of last year. We crossed that 50% milestone and that's obviously helped our restaurant performance in the U.S. market. And it's something we're going to continue investing in as well to kind of continue delivering that great guest experience. I can't emphasize this enough. There's not really one silver bullet or something that worked or didn't work. We saw things slow down a little bit but that's not going to result in any change to the strategy and we still feel really good about our ability to drive sustainable kind of long-term growth in franchise profitability and further improvements in our guest experience in the US.
Operator: Our next question comes from Will Slabaugh of Stephens Inc. Please go ahead.
Will Slabaugh: Thanks, guys. I wanted to stick on the value theme domestically, if I could. I was wondering if the consumer, in your view, is behaving, either here or actually or in EMEA, as if there is somewhat of a fatigue around the aggressive value messages that are out there in the near-term around maybe the QSR meal deal, which became virtually sort of universal over the last nine months or so? Either at the meal deal side or at the lower end of the value spectrum. Curious about your view on kind of how the consumer views that.
Daniel Schwartz: I wouldn't say we have a strong view or have seen any kind of major shifts in behavior across our consumers or our guests across our menu. QSR is a competitive industry. There has always been a strong presence of value amongst ourselves, our competitors, at least for as long as we've been in this business. We've always believed in having a balanced approach between value and premium or value and core. That really hasn't changed at all for us this quarter and I wouldn't expect it to really change going forward.
Operator: Our next question comes from Andrew Charles of Cowen. Please go ahead.
Andrew Charles: Great, thank you. Daniel, taking a step back and looking at what's driven your success at BK U.S. over the last three years, you guys have adopted a fewer, more impactful sales strategy. But the pace in new menu intros has significantly accelerated in 2016. You've also indicated a robust pipeline later this year. When we think about the reason you've implemented the fewer more impactful strategy in the first place, do you get the sense that 2016 introductions are spreading operations and the marketing message too thin? And then also just a follow-up, or separately, I should say, could you talk a little bit further about the dynamics that drove the net unit closures at Tim Hortons International this quarter?
Daniel Schwartz: On the U.S., the way that I'd think about it, we believe in innovating around platforms. So to the extent that we have a platform and we rotate some new or exciting flavors around it. That is okay. What we don't want to see is a variety of new small products. But to the extent that we have an existing platform, innovating around that platform and making small tweaks here and there, that's okay. We haven't seen any impact on our operations in that front. And when I look at some of the product launches that we have this year, they've been big and they been impactful, like the Grilled Dogs or the Mac n' Cheetos. Some are here to stay, some are limited times. And when I look at the, kind of the innovation pipeline coming down the road, I do feel good that the platforms that we're looking at are going to be few and, obviously, we're planning on them to be impactful.
Josh Kobza: And then on your -- it's Josh. On your question on Tim's International, obviously, it's still early in the year and I wouldn't really read too much into it. I think the really exciting thing on Tim Hortons International is the announcement that came out recently on the Philippines. And I think of you heard my remarks a little bit ago, if you step back a bit, the biggest thing that we've talked about for a while now is how excited we are about taking Tim's all around the world. And I think it was a huge quarter for us in that sense in that we announced our biggest deal yet in the U.S. to bring Tim's to Minneapolis and we also announced our first master franchise joint venture in the Philippines, which is our first step in replicating this success that we've had all around the world with Burger King and now we are going to apply that model to take Tim's all around the world, starting with the Philippines. And we're really pleased to take our first stop there and we look forward to sharing more similar stories on that front with everyone in the near future.
Operator: Our next question comes from David Palmer of RBC Capital Markets. Please go ahead.
Eric Gonzalez: Hello, guys. It is Eric Gonzalez in for Dave Palmer. I was just wondering, is there an opportunity to pay down debt given that your cash balance is approaching $1 billion? And then beyond that, what is your thinking about usage of free cash flow for debt pay-down versus maybe opportunistic buyback, M&A, or possibly even taking your payout ratio higher?
Josh Kobza: Hello, Eric. It is Josh. I think if you look back in history, we've had a fairly balanced capital allocation policy. That's included a few different things, including reinvesting in the business, paying down debt, paying dividends and repurchasing shares. And I think we've done some of all of those things. You probably also saw that this morning we have a new authorization for share repurchase. So I expect that you'll continue to see that same capital allocation policy going forward.
Operator: Our next question comes from John Glass of Morgan Stanley. Please go ahead.
John Glass: Thanks very much. I wanted to ask about you're changing investment policy at Tim's. It looks like your CapEx for the second quarter in a row has stepped down meaningfully, so I suspect this is a more, a larger change at work. I understand now you're not investing as often or as much in the buildings for franchisees up in Canada. Are you still able to capture the lease revenue going forward just at a lower flow-through because you've got to pay the sublease? How does that play out if that's true? And how does that play out overtime? Do you have lower revenue growth because rent's been a big piece of the revenue in Canada historically? So lower revenue at a higher margin or do you capture some of that sandwich lease? Any kind of detail around that going forward would be helpful.
Daniel Schwartz: Hi, John. It is Daniel. I guess the way to think about the historical and future investment in our Tim's Canada business. Historically, the development of new restaurants was kind of a joint effort between the Company and the franchisees. We're moving to a franchise-led, more of a franchise-led development strategy where our franchisees will get to have kind of the ownership of the real estate and, you're right, we won't capture a rent spread on that. We are pleased, though, to say we feel confident in our ability to even accelerate the pace of growth in Canada relative to where we've been historically based on kind of what we see in our pipeline of franchise-led development today in Canada. We're not changing, though, the investment policy with respect to reimaging and renovating restaurants, where historically the corporation has contributed a percentage of the remodel cost and we continue to do that and we plan to continue to do that into the future.
Operator: Our next question comes from Dennis Geiger of UBS. Please go ahead.
Dennis Geiger: Great, thanks. Wondering if you could talk a little bit more about the three drivers of the strong cost of sales results you put up during 1Q and how they performed during 2Q. I guess, specifically, if you could share the number of the VIEs converted during the quarter and then any additional detail on the supply chain efficiencies you might've realized during the quarter. Thanks.
Josh Kobza: Hello, Dennis. It is Josh. As you mentioned, we did have a further improvement in the profitability in that segment in the quarter and compared to the prior year. And I think you can look at it in terms of a few different drivers, as I've described a bit in some of the prior quarters. If you kind of break those down, there's VIE deconsolidation, which we continue to do. Although, quarter-on-quarter, that was probably a smaller contributor this quarter. In terms of retail, that continued to be a growth driver, more so year-on-year. That business has continued to be a very large growth driver year-on-year. And also, we continued to see improvements in efficiency through the broader supply chain and the cost levels in that segment as well, which was a driver as well quarter-over-quarter.
Operator: Our next question comes from Mark Petrie of CIBC. Please go ahead.
Mark Petrie: Hi. Good morning. I just wanted to follow-up on your comments with regards to the Tim's International business and specifically the MFJV in the Philippines. And you'd previously spoken about wanting to innovate or feeling like you needed to innovate in the menu before entering new markets. So I wonder if you could just sort of update us on where you're at in terms of that menu innovation? And should we look at this deal as an indication that you feel comfortable with where you're at? Or was this more of a market specific deal because of the local taste there?
Daniel Schwartz: Yes, hi. It is Daniel. I'd say, when we look at taking the Tim's brand internationally, there will be some element of localization just like we have in our Tim's business that we already have in the Middle East today. And just, as has been a similar case with the Burger King brand as we take it internationally. And what you're going to see and it is something we're going to obviously work with it with our new partners in the Philippines is that there will be a mix of the core products that we all know and love and localized products. But I assure you, you'll still be able to get a Double Double and as many Timbits as you want wherever our Tim's are going to popping up around the world. As far as the Philippines versus other markets, we view it as a great place to, a great gateway to enter Asia. But there's really no limit to how far the Tim's brand can travel and as Josh alluded to earlier, we're working hard to launch more of these master franchise joint ventures in other markets all around the world.
Operator: Our next question comes from Karen Holthouse of Goldman Sachs. Please go ahead.
Karen Holthouse: Hello. Thanks for taking the question. Just if you could sort of give us an update on franchisee economics sort of trailing 12 months with puts and takes around labor inflation versus pricing, or labor inflation versus commodity inflation. How they're feeling about things? And then just sort of, as you get into the back half of this year, a number of franchised companies have sort of talked about working with their franchisees through sort of pricing, making sure they are managing, to some extent, the app versus food at food at-home inflation and how those conversations are going. Thanks.
Daniel Schwartz: Yes, sure, Karen. It is Daniel. I'd say we've seen, if you kind of look at the two biggest markets that we have, the Tim's Canada market and the Burger King U.S. market, we've seen a good growth in franchise profitability trailing 12 months, we've seen good growth in franchise profitability year-to-date. And as you know, there are various drivers of profitability and various cost drivers and sometimes labor inflates a bit more, sometimes cogs inflate a bit more. Right now, as you mentioned, we've seen a bit of deflation on the commodities. And yes, we do work to make sure that we're offering our guests a great value for their money and that's working with our franchisees on product launches, on promotions, on pricing. And it's something it's no changes versus kind of anything that we've done historically. What I would say is our focus on making sure that we deliver a great guest experience, value for money being one of the components of that, and franchise profitability hasn't changed and won't change regardless of the environment that we're in with respect to input costs.
Operator: Our next question comes from David Hartley of Credit Suisse. Please go ahead.
David Hartley: Yes, thanks. Good morning. Just a couple questions, of your new franchisees, just curious, when you enter a market like the Philippines announcement, how long does it take before you start seeing new stores opening? And maybe you can give me some commentary on how many stores have opened of existing new franchise agreements in the states. And then finally, if you can just tell us a little bit about the tax rate, it seems a little lower this quarter than previous. Just wondering what the run rate should be on that. Thank you.
Josh Kobza: Hello, David. It's Josh. Anytime we are entering a new market, we are going to work with the franchisee in that market to open up as quickly as we can. But we want to make sure that we do the work to make sure that we open up really well and bring the right guest experience and the right product offering to that market. So it varies a lot between a market that we're already in like the U.S. and a new market that we're going to like the Philippines. We don't have a date to share yet, but you can trust that our teams are working very hard to open the first stores as soon as possible and we'll let you know as soon as we do. In terms of the tax rate, I think if you look at the adjusted tax rate for the second quarter, it's actually pretty much in line, it's not very far off of where we were for the first quarter. So no real big change, I think, compared to where we were last time we talked.
Operator: This concludes our question-and-answer session. I would know like to turn the conference back over to Daniel Schwartz for any closing remarks.
Daniel Schwartz: Thanks, operator. I just want to take all of the participants for joining us today. Again, we're really excited about the long-term outlook for our Company, excited about the continued expansion of the Burger King brand, the new expansion of the Tim Hortons brand in ways that we think will benefit all of our stakeholders all around the world and we look forward to updating everybody next quarter. Thanks.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines. Have a great day.